Operator: Welcome to the Fourth Quarter 2014 MPLX Earnings Call. My name is Yolanda and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. It’s now my pleasure to turn the call over to Mr. Tim Griffith. You may begin.
Tim Griffith: Thanks, Yolanda. Good afternoon and welcome to the MPLX fourth quarter 2014 earnings webcast and conference call. The synchronized slides that accompany this call can be found on mplx.com under the Investors tab. On the call today are Pam Beall, President of MPLX and Don Templin, Chief Financial Officer. We invite you to read the Safe Harbor statement on Slide 2. It’s a reminder that we will be making forward-looking statements during the presentation and during the question-and-answer session. Some forward-looking statements may relate to MPLX’s sponsor, Marathon Petroleum Corporation. Actual results may differ materially from what we expect today. Factors that could cause actual results to differ are included here, as well as in filings of both MPLX and Marathon Petroleum with the SEC. Now, I will turn the call over to Pam Beall for opening remarks. Pam?
Pam Beall: Yes, thank you, Tim. Good afternoon and thanks for joining us on our call today. MPLX reported solid financial results for the fourth quarter, with the performance that continues to support the distributable cash flow to the partnership. Adjusted EBITDA was $42.4 million for the quarter, generating distributable cash flow of $32.1 million. Our Board of Directors declared a distribution of $0.3825 per unit for the fourth quarter, which represents a 22.4% increase over the fourth quarter of 2013 and a 7% increase from the third quarter. MPLX has provided distribution increases in each of the eight quarters since IPO, representing a compound annual growth rate of 20.7% over the minimum quarterly distribution. And MPLX second full year as a publicly traded partnership, we have reaffirmed our commitment to our unitholders by announcing plans to substantially accelerate the growth of the partnership. We expect to exit 2014 with an annualized run-rate EBITDA of $450 million and that’s more than double the 2014 exit rate. We believe this increased scale will provide us with greater access to capital and expand our capacity to pursue projects or investments directly, including third-party acquisitions. A more substantial scale and bigger balance sheet lessens the need to incubate large projects at MPC or rely on our sponsor to support our desired investment program. We also expect earnings from this accelerated growth to support an average annual distribution growth rate in the mid-20% range over the next 5 years. For calendar year 2015, we are targeting a year-over-year distribution growth of approximately 29%. The first step in executing our strategy to accelerate MPLX growth took place in December when we acquired an additional 30.5% interest in Pipe Line Holdings, which increased our ownership interest to 99.5%. This acquisition is expected to add approximately $80 million of EBITDA annually. We believe it’s important to remind investors that MPLX is a sponsored master limited partnership with a strong fee-based earnings profile and minimal direct exposure to commodity risk. Most of the crude oil and refined product movements that underpin these earnings are related to Marathon Petroleum Corporation’s crude oil and refined product movements under long-term contracts with minimum volume commitments and are not directly impacted by the lower crude oil prices we have seen recently. The nature of these earnings supports predictable cash flows that are stable, despite commodity market volatility. An important element of our growth strategy is the pursuit of organic investments. As part of this strategy, MPLX expects to spend approximately $220 million for organic expansion projects in 2015. This includes the proposed Cornerstone pipeline and other associated Utica shale build out projects. In addition it includes a new 1.4 million barrel butane storage cavern near MPC’s Robinson, Illinois refinery and the recently announced Patoka to Lima system expansion project. While we will always favor investments that can be undertaken at MPLX organically, we are also very fortunate to have the expanding opportunity set available to the partnership through our relationship with MPC having a strong sponsor with a large portfolio of MLP qualifying earnings, in addition to organic growth opportunities and potential third-party acquisitions provides multiple avenues to support MPLX accelerated growth plan. And now I will turn the call over to Don Templin to review the financial results for the quarter.
Don Templin: Thanks Pam. The bridge on Slide 4 shows the change in net income during the fourth quarter 2014 on a 100% basis compared to the fourth quarter of 2013 as well as the adjustment for the interests retained by MPC. The primary drivers for the increase in our net income were the recognition of revenue related to volume deficiency credits arising from deficiency payments received in prior periods and higher average tariffs received on the volumes of crude oil and products shipped. These increases were partially offset by higher expenses associated with the timing of maintenance and integrity activities and higher general and administrative costs. The bridge on Slide 5 details the change in net income for full year 2014 compared to the prior year. The primary drivers for the increase in our net income were the recognition of revenue related to volume deficiency credits arising from deficiency payments received during the year and higher average tariffs received on the volumes of crude oil and products shipped. These increases were partially offset by decreased throughput volumes, increased maintenance and integrity costs and higher general and administrative costs. As you can see on Slide 6, distributable cash flow for the fourth quarter 2014 was $32.1 million compared to $28.3 million of distributable cash flow for the fourth quarter of 2013. During the fourth quarter of 2014, MPC did not ship its minimum committed volume on certain MPLX pipeline systems. Although the $8.8 million of MPC deficiency payments in the quarter do not immediately enter into the determination of income, they are included in the $32.1 million of distributable cash flow in the period. Conversely adjusted EBITDA attributable to MPLX included $8.3 million of revenue resulting from recognizing volume deficiency credits part of distributable cash flow for the fourth quarter. Distributions for the fourth quarter will be $33 million. This represents a coverage ratio of 0.97 times compared to our target coverage ratio of 1.1 times. Our coverage ratio will fluctuate from period to period primarily due to the seasonality in maintenance spending and the timing of dropdowns and acquisitions. With the acceleration of earnings growth, we have outlined today our coverage may be well above this 1.1 times target in the future and for a more extended period of time. Slide 7 provides adjusted EBITDA and distributable cash flow by quarter for MPLX and continues to highlight the stability in growth of distributable cash flow over time. Slide 8 provides some selected financial information. During the fourth quarter, MPLX entered into a new 5-year $1 billion revolving credit facility and a $250 million drawn term loan facility replacing the previous $500 million 5-year facility. At the end of the fourth quarter we had $27.3 million of cash and $615 million available on our bank revolving credit facility. This liquidity along with our ability to access the public debt and equity markets should allow MPLX to pursue growth opportunities that expand its growing base of distributable cash flow including the accelerated pace of earnings growth we are pursuing. Our consolidated total debt to consolidated EBITDA covenant ratio is 2.8 times, well below the maximum allowed of 5 times and continues to provide great financial flexibility for the partnership. Our 2014 capital expenditures and investments were $93.1 million compared to our revised plan of $110 million. The reduction in spending was primarily due to lower than expected costs and greater procurement efficiencies. Turning to Slide 9, in 2015, MPLX expects to spend approximately $220 million on organic expansion projects and nearly $40 million of capital to maintain the high reliability of our assets. Growth projects in 2015 include the proposed Cornerstone pipeline and related build-out infrastructure. MPLX completed a successful non-binding open season for Cornerstone in the last half of 2014, with a binding open season expected in the first quarter 2015. Another organic investment that will add third-party revenue to MPLX’s earnings stream is the Patoka to Lima pipeline system. This expansion project concluded a binding open season on December 31. This project will expand the existing systems capacity by an additional 18,000 barrels per day of light equivalent crude oil and is anticipated to be in service in late 2016. We will also be building a new butane cavern near MPC’s Robinson refinery with an expected capacity of 1.2 million barrels that will provide seasonal storage. As noted on Slide 10, in December 2014, MPLX acquired from MPC an additional 30.5% interest in Pipe Line Holdings, representing approximately $80 million of forecasted annual EBITDA. This acquisition demonstrates our commitment to and execution of our plan to substantially grow MPLX. The chart illustrates our distribution history since the IPO and highlights our significant growth in LP distributions. MPLX’s fourth quarter 2014 distribution represents a 22.4% increase over the fourth quarter of ‘13 and a 20.7% compound annual growth rate over the minimum quarterly distribution. Our intent is clear. We expect to evolve MPLX into a large cap diversified MLP with an attractive distribution profile over an extended period of time. Now, I will turn the call back to Tim Griffith.
Tim Griffith: Thanks, Don. With that, Yolanda, I think we are prepared to open up the call for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Brian Zarahn. Your line is open.
Brian Zarahn: Good afternoon.
Pam Beall: Hey, Brian.
Brian Zarahn: Looking at the fourth quarter results, can you provide some color on the growth in refined product volumes?
Don Templin: Sure, Brian. I think part of it was that we were comparing to a period last year when we were getting ready to enter into – when we are getting ready to enter into a turnaround activity. And so part of it I think is just a timing – is a timing issue as well as the wind refineries were running and not running and our abilities to or our main shippers’ abilities to maximize sort of the markets in which they were operating.
Brian Zarahn: In addition to less turnaround activity, did you see less export activity or were there other – because it was significantly higher than the other three quarters of 2014?
Don Templin: No, as was announced on the MPC earnings call today, the export activity was about 282,000 barrels a day and that was actually above what it was last year. So, there has been – there continues to be, I think good volumes in terms of the export markets.
Brian Zarahn: Okay. And then on I guess looking at the tariff, was that just sort of a mix issue looking at the fourth quarter versus the third quarter?
Don Templin: It’s entirely a mix issue, Brian. I mean, actually individual tariffs are up. It just happened to be that there were volumes that were lower on a high tariff line, but individually the tariffs are up.
Brian Zarahn: Okay. And then looking at the organic projects, I know you have a successful open season for the crude expansion, but given the backdrop we are in with low commodity prices, any change in your expectations for returns on your organic projects or even timing of in-service dates?
Pam Beall: Yes. Brian I will take that one. So, on the Cornerstone pipeline and the Utica build-out projects, we are planning to pursue the binding open season here in the first quarter. We have recognized it could be a challenging time for some producers. But this opportunity is really being pursued as natural gas liquid pipeline where we will have the ability to transport condensate, natural gasoline, diluent and butane. And we believe that local and regional refiners including MPC along with diluent blenders will have demand for these products in addition to what we expected to see support from the Utica producers and some midstream companies as well. The Utica and Marcellus shale plays have some extremely high volume natural gas producing wells. And many of these wells are also producing a fair amount of condensate and natural gas liquids that need to be transported to market. So we are confident obviously that these resources will be developed over the long-term. The date for the in-service initial project, the base Cornerstone project is end of 2016. And so over the long-term, we think that it’s going to makes sense to move ahead with this project. And the build-out project we think given the access that we have to existing pipelines, we have a terrific solution for many players in the market all the way from producers to refiners and diluent marketers up into Canada.
Brian Zarahn: Appreciate the color and we will stay tuned on the open season. Looking at 2015 expect expansion – excuse me maintenance CapEx, is that $38 million estimate inclusive of an expected dropdown or is it just on the base assets sort of the year end 2014?
Don Templin: It is on the base assets that are in there. But what will happen there is that now that everything essentially from pipeline holdings has been dropped in Brian that’s on a 100% basis. So if you look at sort of our results and if you look at sort of the tables that we have now that the reduction for the interest retained by MPC is going to be a very, very small component. And now many of our results will really be kind of, I will call at the 100% level virtually at the 100% level for pipeline holdings.
Brian Zarahn: Okay. So we will layer on to get to your run rate for the fourth quarter, there will be a dropdown, so this maintenance CapEx just to confirm does not include any additional dropdowns?
Don Templin: That’s right. That maintenance CapEx number is for the existing assets that are at – that are currently in MPLX.
Brian Zarahn: Very good, that’s all I had. Thank you.
Pam Beall: Thanks Brian.
Don Templin: Thanks Brian.
Operator: Our next question is from Jeremy Tonet. Your line is open.
Jeremy Tonet: Good afternoon.
Pam Beall: Hi, Jeremy.
Jeremy Tonet: Hi, I just wanted to go back to some of the comments at the end there when you talked about MPLX growing into a diversified MLP and I was wondering if you could expand a bit more on what that means you guys and if that’s different lines of business, is that gathering and processing, if it’s geographic diversification, it’s wholesale, retail distribution fits in that vision and whether the appetite would be organic growth into those areas or acquisitions?
Pam Beall: Yes. Well, Jeremy when you look at the portfolio of retained assets that MPC has that we expect will – those midstream assets that will make their way into MPLX over time, you could call that in and of itself the diversification not just crude and product pipelines, but there are significant marine assets. We have one of the lot – Marathon has one of the largest private inland marine fleets in the country. We also at MPC have a very significant set of terminal assets rail and we also have identified fuels distribution as another element of potential growth for MPLX that’s retained at MPC about $600 million of EBITDA there. So in its own right, if you just look at the assets that will find their way into MPLX over time, you could call that diversified MLP. Now, will we expand into other areas like gathering and processing or natural gas liquids, I guess I would say that we view the Cornerstone pipeline opportunity and the Utica build out projects to be natural gas liquids related. So that is an area of the business that MPC is in today. Today, we already have one butane storage cavern that’s part of MPLX it’s the Neal, West Virginia butane cavern and then some of the additional assets that are retained at MPC that will find their way into MPLX. We just announced with this capital plan for 2015 the construction of another butane cavern near MPC’s Robinson refinery. There are natural gas liquid pipelines that will find their way into MPLX. So, I would say that with respect to natural gas liquids, it’s an area that we would certainly be comfortable investing in. And obviously, the Cornerstone and Utica build-out projects are organic projects.
Jeremy Tonet: That’s all very helpful. Thank you. And maybe just one little follow-up question there, as far as the retail business, is that something that would make sense that MPLX would be interested in or is that something outside of kind of the scope of your current focus?
Pam Beall: Well, what we have said up to this point is that the way we have defined fuels distribution is looking at MPC’s 20 billion gallons a year that it sells various products than just applying $0.03 margin to it. And we are really focused on the value between spot and rack. As you probably know, there are a number of different retail fuels distribution models out there that are closer to retail. So, I would say that we continue to evaluate what is the most optimal structure as it relates to fuels distribution and what that might look like as it might relate to MPLX.
Jeremy Tonet: That’s very helpful. Thank you.
Operator: Our next question comes from Shneur Gershuni. Your line is open.
Shneur Gershuni: Hi, good afternoon guys.
Pam Beall: Hi, Shneur.
Shneur Gershuni: Just a quick question, most of my questions have been asked by Brian and Jeremy, but I was wondering if you can sort of talk about the expected cadence for distribution growth on a go-forward basis? Should we think about the sequential increase that you did for the fourth quarter as kind of the plan on a go forward basis sort of given the updated growth profile that you put out in third quarter? Is there a chance that it’s going to potentially be a little bit higher and the coverage during this most recent quarter sort of played into the decision a little bit? I was wondering if you can sort of give a little bit more color on the thought process for the quarter and for going forward?
Don Templin: Yes. So, we are always obviously committed to the – over the next 5 years having an average distribution growth rate of 25%. And we have indicated that as part of this that for 2015 that distribution growth rate will actually be 29%, so slightly above that 25%. I would expect that we will continue to – there will be times where our coverage ratio will be above sort of our 1.1 times target and that will really be a function of if we do a drop or we make an acquisition, you kind of grow into the – they might be of substance and so you grow into a coverage ratio that gets you back down to the 1.1 times. So, we are going to grow quickly. We are going to make sure that we have enough scale and enough size that we don’t miss out on opportunities to participate either on our organic projects that start at MPLX or an M&A activity that might actually make itself available, particularly given the current market environment. You can appreciate that there are probably some E&P companies and others that have midstream assets and those midstream assets are probably more available now than they were 6 months ago in terms of an opportunity for a well-positioned entity like ours has a really strong balance sheet, a lot of capacity and a very strong currency.
Shneur Gershuni: Okay. And is it fair to assume that the same way you gave the example of you may have high coverage and you will grow into it, conversely the seasonality of some issues with coverage is not really going to play into kind of the plan to be targeting 29% for this year and 25% kind of over the 5-year basis?
Don Templin: No, I think consistent with what we have done over the last 2 years, I think we will be very sort of consistent about our approach and we recognize that on a quarterly basis there could be some movements up and down in the coverage ratio, but that’s not going to influence our – the way we look at the distribution. We look at that distribution growth profile as being a long-term decision, not a quarter-to-quarter decision.
Shneur Gershuni: Perfect. That’s what I wanted to hear. Thank you very much guys.
Operator: We have no further questions at this time.
Don Templin: Okay. Thanks, Yolanda. Well, with that, we want to thank you for joining the call today and for your interest in MPLX. If there are additional questions or items that you would like clarification on, Geri Ewing and Teresa Homan will be available to take your calls. Thanks for joining.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.